Operator: Welcome and thank you for joining Alpha Bank Nine Month 2014 Financial Results Conference Call. (Operator Instructions). At this time I will turn the conference over to Alpha Bank management. Gentlemen please go ahead.
Spyros Filaretos: Thank you. Good evening ladies and gentlemen, welcome to the Alpha Bank's third quarter results presentation. My name is Spyros Filaretos. I'm the Chief Operating Officer of the bank and with me to go through third quarter results and questions later. Mr. Vassilios Psaltis, General Manager and CFO and Mr. Michael Massourakis, our Chief Economist. Let me begin with a view of key highlights of the last few months. Before we go into more detail. These are outlined in Slide 4, and let us begin with the outcome of the European Central Bank's comprehensive assessment. The result of which have been very positive for Alpha Bank and we are all extremely pleased to see, that they confirm best-in-class capital position among the Greek Banks. We got a clear pass under all scenarios and assumptions, with a capital buffer of around EUR3 billion under the baseline static scenario. On the Greek economy for another quarter, the positive momentum is maintained. We expect GDP growth turn positive by 1.9% in the second half of 2014. Supported by a record tourist season in the third quarter and keep up with its improving trend towards in almost 3% real GDP growth for the year to come. These trends are fully supportive of our efforts to improve assets quality and successful restructure large part of non-performing loans portfolio. Turning to the bank, our operating performance continues to build up momentum and confirms the solid output trajectory including revenues and delivering the cost cutting targets. With the completion of our Voluntary Separation Scheme. We aim to deliver successfully on our cost cutting program of around EUR220 million, front loading in 2015 related savings. Our Common Equity Tier 1 ratio stands at 15.9%, whereas with the implementation of the Deferred Tax Credit legislation, our fully loaded Basel III ratio will stand at 14.9% from 12% that it was in the previous quarter. Last in September 30, we completed the acquisition of Citibank's Greek retail operations including Diners Club, in Greece. This transaction which is in line with our focus on asset gathering and affluent clientele, has boosted our liquidity with another EUR900 million of deposits increasing our deposits market share to 21%. Well in the bottom line, this will benefit our profitability with an additional EUR50 million in the next two years, but on the realization of a well targeted combination of cost and revenue synergies. I now hand over to Michael Massourakis for brief overview of economic developments in Greece. Michael?
Michael Massourakis: Okay, good afternoon from my side. As Mr. Filaretos said, we are experiencing, strong year economic fundamentals. As the year comes to its close, the fundamentals we see continue to point to an economy that is solidly recovering. With private consumption and non-residential investment growth, in positive territory already from 2014. For the first time, after a prolonged and deep decline in economic activity. Moreover, exports of goods and services benefit substantially from tourism, shipping, other services and non-oil goods exports. Employment has been increasing since the beginning of the year and wage growth is about to turn positive from 2015. Moreover, retail sales volume grew rapidly during the summer. Point into a very good performance of private consumption, and overall growth from the third quarter, of this year. Growth is expected to reach about 1.9% in the second half of this year, going forward 2.5% to 3% in 2015. A key prerequisite for the solid growth performance next year is that investment will have to rise by about 10% in real terms, which is possible even with residential investment, stabilizing at current levels next year from the minus 40% decline in the first half of 2014. This is not unlikely, as building permits are already rising in 2014 pointing to an improvement in investment activity, in residential investment activity with a lag of 8 months to 12 months after that. Therefore, we are confident that growth exceeding 2.5% in 2015 is within reach. In the current negotiation with Troika. The main issues of contention remain pension system and labor market reforms. In particular, what is the in the line, is the long run viability of the pension system, on the basis of actuarial studies already completed. With the government arguing the short-term pressures, are reverse in the medium-term and therefore there is no need to change the parameters of the system, but rather to concentrate on streamlining operations, expanding the days of social security contributions, and improve the collection of arrears. On labor market reform, what is being discussed is the right of employers to mass dismissals and local arrangement, as well as decision making procedures in calling a strike by employees. Moreover, on the table is a long overview rationalization of the civil service including pay rises for highly needed skills and cutting down employee numbers by 5,500 people by the end of the year. It seems that the issues discussed do not present insurmountable obstacles for the successful conclusion of the negotiations, and win-win solutions can be found as in the past, if both parties are flexible, especially in view of impending political developments. What is more important however, is securing an agreement on a precautionary credit line from the European stability mechanism. So as to count down the markets and facilitate access. This is an important effort, as the Greek Government wishes to disengage from IMF conditionality and funding in 2015. After successfully completing the current review examination, which will open up the way to EUR7 billion disbursements in 2014. All in all, strong fundamentals coupled with successful negotiations, will bring Greece to a safe harbor for the time, in view of political turbulence ahead. And if the country stays a course, as it is widely assumed by those who subscribe to the dominance of economics over politics. The economy is expected to recover swiftly and the markets to rally again to new heights. Thank you. Michael?
Michael Massourakis: We can turn to Page 6, where we can see some highlights of our balance sheet and P&L figures for the nine months of this year. As you can see in the table on the left. Our total assets stood at EUR72.4 billion and our loans which is at EUR1 billion net of accumulated provisions of EUR1.7 billion. Customer deposits were EUR43.5 billion and net loans, deposit ratio further in total 115% for the Group and 110% for Greece, well below the targets set by restructuring plan. Regarding Eurosystem funding, it further decreased as a percentage of assets 12% from 20% beginning of the year. Taking into account the EUR3.9 billion of EFSF bonds that can be repos in the bank market. Our reliance to ECB has dropped to the amount of EUR7.9 billion. A level, we have not seen since 2009 before we even Emboriki acquisition. Shareholders equities sit at EUR8.5 billion and our tangible equity respectably at EUR8.2 billion, representing a tangible book value per share of EUR0.64. The Common Equity Tier 1 of 15.9% along with the plain leverage ratio of 11.4%. We trade the excess in our capital position and indicate our capacity to selectively and carefully releverage our balance sheet as conditions in the economy continue to improve. With regard to operating performance on right-hand of the slide. You can see that, our core Pre Provision Income excluding trading in extraordinary costs, stood just shy of EUR800 million having increased by 69% compared to the same period in 2014. It was considerable improvement is attributed mainly to our core revenues, which was boosted by declining funding cost and further efficiency gains on the cost side. In the asset quality, our Group NPL ratio stood at 33.6%. Well our coverage increased further to 60%. The accumulated provisions to the 20% total gross loans at the end of the quarter, and with that, I'll pass it along to our General Manager and CFO, Vassilios Psaltis for the results [indiscernible]. Vassilios?
Vassilios Psaltis: Well, now turning on to Page 7. In order to present an overview of our capital position. On the upper left chart, you can see the Common Equity Tier 1 and how it is building up. Our Core Equity Tier 1 ratio stands at EUR8.5 billion or 15.9%, affected by the operating results of the third quarter and a reduction of our credit risk rated assets. During the third quarter, the Greek government passed a legislation which allowed for the transition of deferred tax assets into deferred tax credit, as it was the case with other Southern European countries. With amendments required by the European Banking Association and made in October. The new legislation is now in effect, allowing us for the fully loaded Basel III ratio to stand up 14.9% or EUR8.1 billion. Our risk weighted assets amounted to EUR53.6 billion at the end of September, which is down 1% of EUR500 million quarter-on-quarter and this is to be attributed to the increased of our impairments. The improvement of the corporate bond ratings and the decrease of other assets. Risk weighted assets, do represent 107% of our net loans. In the bottom-left waterfall, you can see the bridge between the ordinary equity and our total regulatory capital. It's worth highlighting the bank tangible equity of EUR8.2 billion. Given the absence of any minority, it differs only by just EUR256 million from the Common Equity Tier 1. Turning on to Page 8, you can see that the recurring Pre Provision Income continues to build up. And it increases 6% quarter-on-quarter, due to higher net interest income and reduced operating expenses. On an annualized basis, we have seen our core income increase in by circa 18% and recurring expenses coming down by more than 5%. The one-off cost of EUR194.5 million or the voluntary separation scheme, has negatively affected the performance in the third quarter, but from 2015 onwards, the fully phase benefit is going to be EUR120 million and this translates to an extra EUR30 million per quarter on the Pre Provision Income of the Group. In the third quarter, trading gains of EUR17 million versus EUR27 million in the second quarter were negatively impacted by the higher good governance bond spreads. On fee and commission income, there is good diversity and improved performance, it has increased by 9.2% year-on-year as a result of increased transaction activity applicable fees from asset management and brokerage. In the third quarter, fees were marginally up by 1% quarter-on-quarter to EUR100.9 million primarily due to rise in fees from credit cards assisted by a good tourist activity. At the lower part of the slide, you can see this positive development in operational profitability getting closer at breakeven point trajectory as cost of risk is decelerating and our pre provision income continues improving. And now let's go into details of a building block of our core revenues on an annualized basis. Starting on Page 9, on the top left-hand side. You can see net interest income being positively affected prior the depository pricing in the wholesale funding cost. This constituents more than counter balance pressure from the loans deleveraging was taken place during the quarter. As net loans excluding the effect from the Citi Retail acquisition decreased by EUR400 million. Given the positive development on the wholesale funding and deposits collection cost. The run rate of cost of funding 2014 translates into an annualized benefit of EUR400 million as shown in the top right chart. On the deposit front, we are now focusing on repricing our bank book to the new time deposit rates, which are currently at or lower than 2% level. The delta between maturing and renewed balance sheet is between 50 basis or 60 basis points. Continuing at rough days and without any extra analysis affecting the current deposit markets environment. The average yield of the bulk increase will fall below 2% threshold in the first half of 2015, frontloading effectively our restructure in planned targets. And other important item for the quarter, was Central Bank funding cost, which has been decreasing gradually throughout 2013 in the first nine month of this year, on the back of lower volumes, lower refinancing rates, and different mix between ECB and ELA. The average cost is 90 basis points including the cost of obtaining the government guarantees. Our net interest margin, currently stands up 2.7% same was in the second quarter of this year. Turning now to Page 10, we can see that the negative contribution of deposit to net interest income is decreasing from quarter-to-quarter and has fallen below the EUR100 million mark in the third quarter. This compares much of EUR163 million one year back, in the third quarter of 2013, which means 63% higher than what we have experienced this quarter. The improvement in net interest income, which is followed the prevailing trend of previous quarters comes mainly from the continued repricing of time deposits, resulting in an improved in deposit spreads of 93 basis point versus 146 basis point one year back. On the other hand, the decrease in Euribor rates in almost 0% level, has affected our profitability on the sight and savings deposits in Greece, making practically it is, account to breakeven for the bank in terms of net interest income benefit. Moving now on to Page 11, let's have a look and loan volumes have fared year-on-year. As you can see, that there has been a decrease in our net loan balances of nearly EUR3 billion year-on-year or EUR400 million on a net basis, on a quarter-on-quarter. Deleveraging has continued at a significantly lower base and if we take into consideration, the EUR400 million of net loan contribution from the acquisition of Citi's Retail operation, which is mostly credited to our balances, the net loans are flat for the quarter. The net interest income contribution from loans has been reduced by EUR4 million or by EUR10 million, if you take into account also the positive calendar effect. To EUR571 million with a reduction in the third quarter, almost at the same pace compared to the previous one. Net interest income contribution from Citi is not included in this quarter. The spread at Group level are effectively unaffected of 446 basis points versus 448 basis points in the second quarter. We're well positioned to maintain our strong corporate focus and increase our balances going forward, as demand for credit will gradually pick up. As another station potential pockets of demand, we have an array of large infrastructure projects already set in place, over the next couple of years could provide for an aggregate loan demand of more than EUR4.5 billion.
Spyros Filaretos: Let's turn on Page 12, to have a look at operating expenses. They have decreased by 5% year-on-year on a comparable basis. Mainly driven by the reduction in staff expenses by 8.3% year-on-year and that reduction was attributed to the phasing in of the new collective labor agreement. Further initiative is on, remuneration policies of the bank as well as by FTE attrition, full-time equivalence attrition. General expenses excluding of the remedial management expenses and crisis driven costs were down 6.7% year-on-year. Due to synergies realization IT and telecoms, products and public related expenses. On Page 13, we can have a look at the effect of Voluntary Separation Scheme that Vassilios referred to. This was concluded successfully in October 2014, 2,208 employees or 20% of the total headcount in Greece have accepted to participate and as a result, the bank will benefit around EUR120 million annually. While an extraordinary cost of EUR194 million for the program, when the remuneration provisionally expensed in the third quarter of this year. We plan to pay by period of 19 months. The VSS was most important delivery component of the cost cutting program and is now completed as planned. On the back of significant synergies from the Emboriki and Citibank acquisitions. Turning to Page 14, another look at the cost cutting program. Here you can see, where we stand in terms of target reduced operating cost by EUR220 million between the years 2014 and 2016. On the top left, you can see that within one year, we have managed to reduce on a quarterly basis by EUR22 million in the average quarterly expenses or by EUR88 million on annualized basis. These are cost cuts, we have already achieved and when we taken to EUR120 million cost savings, we will be fully phased in 2015. From the Voluntary Separation Scheme, we have almost reached our goal of EUR220 million, a year earlier than initially targeted. This is quite an achievement for us, given the magnitude and complexity of our operations and it allows us now after the inclusion of Citi Retail operations to recalibrate our platform, in order to achieve more operational efficiencies going forward.
Vassilios Psaltis: Let now move to the asset quality considerations and start looking at page 15. The accelerating non-performing loans formation continues in this quarter too, with a peak coming in the next few quarters. The last 12 months, the formation on a Group level has declined by an impressive 95% compared to the last 12 months, formation a year ago. In mortgage loans, we experienced fourth consecutive quarter of negative formation. Business loan NPLs have continued to add but [ph] have reduced pace. Turning to Group level into an NPL increase. Our Group NPL ratio reached 33.6%, with non-performing business loans at 34.3%. The consumer loans at 41.3% and mortgages at 29.7% as of September 2014. Please bear in mind, that in our stock of NPLs, we have included an amount of EUR89 million coming from the Citi Retail acquisition loans, however that are fully provided and they do breakdown in to EUR49 million of business and EUR40 million of consumer credit NPLs. Moving on to Page 16, you can see that we have continued building up coverage of our non-performing loans with respect to ratio reaching 60% from 58% a quarter back. Total coverage remains well above 100%, when collaterals are also taken into account. From a segmental point of view, we have 69% cash coverage for previous loans, as high as 34% on mortgages and 815 on consumer. From a geographical point of view, we have a higher cash coverage on our international operations. Restructured loans stood at EUR8 billion. Our Group is preparing for the implementation of a final draft technical standards from non-performing exposures and Forbome exposures published by EBA in July. Therefore, restructured loans definition will be accordingly amended to comply with the full above definitions by the end of 2014. Turning now to the funding side, on Page 17. We want to highlight our improving liquidity position to some extent supported by the Citi Retail consolidation, but also from our noteworthy coverage performance of consumer deposits in the third quarter. We managed to add another EUR500 million of customer deposits, mostly from sight and savings account as businesses cash flow were favored from – with a good tourist season and dispersions of the new fund for infrastructure projects. As a result, loan to deposit ratio decreased further reaching 115% for the Group and 110% for Greece. Our deposit market share increased commensurately by 50 basis points and now we control 21% of the deposit market in Greece. Turning to Page 18, we see the evolution of our Eurosystem Funding which has dropped to EUR11.9 billion in the third quarter or EUR7.9 billion excluding the EFSF bonds. Since May 2014, we have no more reliance on ELA funding. Furthermore, we are engaging in a number of actions that should allow us to replenish the monetary value of the Greek Government Guaranteed Bonds that we're currently placing with ECB. Now, with this slide, we conclude the financial performance presentation, but let us give you a few slides on the ECB comprehensive assessment results, which has been announced this Sunday. And moving onto Page 20, we can see that Alpha Bank has passed the Stress Test in flying colors in both baseline and adverse scenario, confirming the adequacy of our capitalization ratios. On this particular slide, you can see the impact for Alpha Bank of the baseline and adverse scenario respectively and associated capital surpluses with EUR3 billion in excess over the ECB 8% hurdle rate for the baseline and EUR1.3 billion excess over the 5.5% hurdle rate of the adverse scenario. On the next page, Page 21, we portray list of direct capital impact actions that were not included on the static scenario. These actions amount to roughly EUR1.8 billion providing further cushions to Alpha Bank's capital positions, is included our excess capital under the baseline scenario, which has exceeded EUR4.5 billion and under the adverse scenario the EUR3 billion mark. This developments, we appreciate fully confirm our comfortable capital position. Turning now to Slide 22, you can see our reconciliation of non-performing loans with the non-performing exposures of the AQR at the Group level. Starting off, with the NPLs of EUR20.5 billion as of the end of 2013. An extra EUR2.8 billion of exposures were classified as in these according simplified EBA definition corresponding mostly to performing individually impaired loans. This brought the NPE figure to the total EUR23.3 billion, which is a starting point for the asset quality review in the comprehensive assessment. Please also note, that further review and extra EUR2.1 billion of exposures relating to post-credit conversion factor of balance sheet items were included bringing the total Group exposures to EUR64.9 billion. This effectively implies that 35.9% NPE ratio with a 48% cash coverage. Although, the result of the AQR an extra EUR2.7 billion of adjustments to the NPE balance were made due to the triggered events relating mostly to Forbome cases and adverse debt service coverage ratios, which are arguably very harsh given the already strained conditions of the Greek economy. According to the ECB AQR manual, this triggers were established for potential purposes for the AQR only and they do not necessarily have to be reflected in the financial statements. On the bottom part of the chart, you can see our NPLs and NPEs as of 30 September, with a simplified EBA figure standing up EUR24.1 billion, which translates 37.1% over the gross exposures bringing the total NPE cash coverage to 53%. On the next slide, Slide 23. We portray the positions taken on board during the first nine months of 2014 versus the NPL formation for the Group. As you can see, the impairments taken are more than double the size of the additional NPLs, during this period. Allowing for 60% cash coverage for these new NPLs, were left with increased cash coverage levels that place the bank in a comfortable position to any regulatory standards. On the next page, Page 24. You can see, how Alpha Bank ranks versus select European listed peers. We note that Alpha Bank futures among the strongest banks in the sample, as you can see. Coming out of this exercise underpinning a strong result growth in the domestic, but more importantly also in the international context. And with that, I will hand over to Spyros Filaretos for acquisition updates on the Citi Greek Retail operations acquisitions.
Spyros Filaretos: Thank you. Just a slide and few words to wind up this presentation for the third quarter results. Slide 26, you can see some of the rationale for the acquisition of the Citibank's operation. I remind you that we, closed the transaction at the end of September and one commentary is that, despite say there is relatively small size in the Greek financial industry. Its presence is very pronouncing the affluent segment and it increases significantly our footprint in certain prospective client segments, where we have also focused, going forward. Right after the closing of the transaction, we immediately focus on the integration process, and we believe that the transaction can prove very beneficial for Alpha Bank going way beyond the key needed benefits, which we have included in this slide. Full operational integration is expected to take place towards the end of 2015. And Slide 27, you can see some bit of rationale for the acquisition. We do believe that the timing of the acquisition is very opportunate for us, given the decline in deposits spreads in Greece. While there is still some room to reach levels of other European countries. Overall June, 2015 we do expect a gradual shift of affluent customers risk appetite from plain deposits to high yielding investments products. Some of the strength has been observed, when looking at the Greek assets from the management market and the Citi acquisition increasing Alpha Bank's market share in affluent segments to around 40%, positions us very well to be at the forefront of this trend. Capturing an attractive low capital intensity and fee generating business. On the top right-hand graph, you can see that we target to almost double our asset management and banking fees, but fully utilizing the resources acquired from Citi, both technical and human resources, I may add and finally we iterate our synergy targets of EUR50 million to be fully phased in 2016; 70% of which come from cost and 30% from revenue synergies. And with this slide, conclusion of third quarter results presentation and we can now open the floor to any questions that you might have. Thank you.
Operator: (Operator Instructions). Our first question comes from the line of Formanko Paul of JP Morgan. Please go ahead, sir.
Paul Formanko – JPMorgan: Just a few follow-up questions. Thank you for the presentation. Just on the nonperforming exposure reporting going forward, is this going to be now the norm? Are you going to be reporting IFRS 90 days, as well as total nonperforming exposure post AQR, going forward? Are they going to be comparable within Greece, but potentially within Europe. And then also on the coverage 53% that you have currently, is the intention to further increase that coverage to 60% level potentially? The second question is on the NPL resolution process both corporate and personal. It looks like we've seen some guidelines here, but could you please comment on how this will actually work going forward? And then also we have seen some press reports suggesting that banks will want to raise capital to reduce government stake. So could you please comment on that issue as well? Whether you do, plan to raise capital in the next 6 months to 12 months? And then, finally, on the Pillar II bonds, how should we see the replacement process to take place and what could be the potential impact on your financials? Thank you.
Vassilios Psaltis: Thank you, Paul. Let me try and go one-by-one to those questions that you have put forward. Staring on with the reporting requirement and also intention on our side, as far as the asset quality is concerned. Indeed going forward, we're going to be having two separate numbers and we are currently finding ourselves in the transitional phase and let me explain that. Currently from an accounting point of view, we have one commonly appreciated metric and this is the non-performing loan, which we all understand that according our IFRS 7, this is anything [indiscernible] past view, that is a figure that we all going to be continue reporting. Over and above that, we have the non-performing exposure, which essentially goes a step further. It introduces also the notion the unlikeliness to pay. This is something that within the AQR, the new regulator in the form of ECB and as of today, the SSM they have put a manual forward, but only for the exercise what we have gone through and they have stretched that, is valid. So that means that, after that there will be, if you would want a transitional period where the national competent authorities will communicate with each and every bank in the sample, sharing their reviews on that and there will be guidance on particular parts, where they have potentially found that, where's the deviation between what the banks have been doing and what they would want to see going forward. Therefore that interim phase of the simplified EBA is a one, but we are finding ourselves currently. Therefore, you will – if you'd want in 2015 have two set of reports. The one is going to be the NPLs and the second is going to be, the full EBA compliant and the definitions. In terms of coverage, in the old world of NPLs, I think we were comfortable with our 60% coverage ratio and testament to that, we feel that also the AQR has been one angle that has verified that. Now venturing on to the new, NPE definitions. We have put forward, where we do stand according to the simplified NPE. However, as I said, we're going to be venturing to the full EBA and we are not there yet. Therefore, we will spend much of the fourth quarter, both anticipating the right level of definitions and calibrating in order to come up with an appropriate set of disclosure in terms of full EBA, but at the same time, we will need to think through, what should be the right level of coverage, in order to have on each and every segment of the portfolio. Your second question was on the NPL resolution. Now on that point, indeed there have been developments over the past few months and as of yesterday, we saw a bunch of information coming forward in the form of a draft law, that has been tabled that on the one hand addresses the small businesses, but on the other hand, also introduces several thing on the corporate restructurings. As a general comment, I think any initiative from the government towards taking out of rigidities from the system on the one hand, but also facilitating for viable entities to go restructuring for their debts. We feel that, there is a positive development. Looking on the SBLs, there is indeed two things that we expect to positively come out of that that. The first is that, people that are in – that people that would fall under the auspices of the law, would feel encouraged to come and talk to the bank for a viable restructuring of their debt. The second positive thing is that, this is completely to the discretion of the bank, not just to make the credit assessment, but also to take the decision on allowing the respective borrower to fall under auspices of the law. At the same time, however, it's going to be quite a tedious process in order to slice and dice the portfolio, and define the parameter which is going to be fully matching to the criteria, that's has been brought in the respective law and to, if I may say, we would have wanted to see also a bit more coming out of the state, in terms of allowing some more great news in terms of foregoing penalties. Just to forego, 20% just to have 20% haircut on the penalties, is probably below the expectations that were built in the last few weeks. In terms of, the corporate restructuring and the special management and liquidation, so effectively things that will take place before one files for the equivalent of Chapter 11. There we will see a lot of flexibility being introduced and there are all sorts of positive signs. Obviously, we will need to look more carefully to that, but this certainly is a good step towards allowing for a more experienced resolution of corporate restructurings. The third point, that you mentioned is to comment on speculation about the capital increase of Alpha Bank to enhance allegedly its – further its privatization and you know, I think it is good think, that this question is been asked to the extent that. I think, we are confident that everyone who can read numbers, understand that such number are completely unfounded and totally speculative. I mean, we all, all the time read analysis that do define gravity, but please ignore and focus on the facts. As you have seen, we have ample buffers as confirmed by the recent ECB comprehensive assessment. Our capitalization is compared only to the best-in-class in Europe and automatically renders any discussion on capital increases, as completely out of context. Now on the final point, about the Pillar II bonds. Currently, we have a cash equivalent of EUR5 billion, but we will need to replace. And you have seen on the relevant page, that we have embarked on all sorts of actions that we could instigate, in order to ensure that we will be able to meet the deadline, by the end of February. There is one point, that we haven't seen yet, which is aligned for credit claims, that we do expect ECB to come forward with some statements and that would be, if you would want to a final instrument in our arsenal, in order to be in the position to comfortably meet that. As it stands right now, we need to continue a focus work, but we will only see as we come closer to the update, if we will be able to match the points. Bear also in mind that, the Greek banks do not start from the same position in the sense that, banks that have either taken more stake on board, which they have taken in the form of ESFS bonds or that have acquired the good part of a reserve bank, where they have taken again ESFS bonds to bridge the funding gap, finding themselves in a better position compared to other, that was from a capital and from a financial point of view, maybe in a better position like ourselves, but we do not have that access to ESFS bonds.
Paul Formanko – JPMorgan: Vassilios, thank you. Just on the resolution process you commented. When would you expect to see some positive results from both the corporate and the retail process?
Vassilios Psaltis: Well, on the retail process Paul, I think we need to get much more granular before A; we have a firm view about the acceptance and B; on the financial impact that it may or may not have on the bank's balance sheet. On the corporate side of things, I think there will be after the relevant legislation goes through. I think there are a number of cases that are currently being discussed and obviously, they will be the first test cases, where we will see in practice, how much faster we can go into resolving those cases. So I feel that, probably already within the fourth quarter, when we next meet for our full year results. We'll have much more concrete information to share with you, both on the assessment as well as on the impact.
Paul Formanko – JPMorgan: Thank you. Thank you very much. If I just may add one quick one. On the sovereign bonds, would you expect to start impacting your funding cost, your retail deposit repricing if this continues for another quarter at 7%, 8%? Thank you.
Vassilios Psaltis: We do consider the situation right now on the GGB as being decoupled from the one that we are seeing in the T-bills. Obviously over the next few auctions, we will see how that this relationship is going to be evolving for the pricing of the front end of the term deposit are the T-bills and much more direct comparison rather than the GGB's. And as I said, there we haven't really seen a decoupling.
Paul Formanko – JPMorgan: Thank you.
Operator: The next question comes from the line of Mrs. Streltses, Margarita of UBS. Please go ahead.
Margarita Streltses – UBS: Good afternoon and thank you very much for the presentation. A few questions from my side please. Can you just clarify if the ECB, where does ECB stand in terms of approval of the DTAs' conversion to DTCs? Another question, if you can comment on your expectations of the asset spread development in the next few quarters from here. Do you expect a demand for loans to pick up next year as you said? And finally, just a clarification on the previous question, with the NPL resolution, I appreciate that this is just a draft law, but if you could just clarify. The current draft law whether it's actually aimed on the loans to return to be performing after you do some sort of a write down, like up to 50% write down on small business loans, and whether you think this might require additional provisions to facilitate that from Alpha Bank.
Vassilios Psaltis: I'll get, Margarita. Your first and your third quarter and then I'll let Spyros to comment on the second. On the approval of the recently passed legislation of converting the deferred tax asset into a deferred tax credit. The structural of the relevant law has changed in order to incorporate amendments that have come forward from the side of EBA. Therefore, it is only reasonable to expect that, this law is fully compliant and from that point of view. We do expect that, it is been converted. Now that does not necessarily mean, that the EBA is precluded in opining overall. As far as through the conversion of DTA to DTC is concerned, but that in all likelihood is not going to be merely on the Greek case, but it's going to be involving the whole European space. On your third question about the intention of the government on the NPL resolution for the SBLs, indeed that is the driving force behind the government. The government wants the dialogue between the banks and the borrowers to be accentuated and actually that, the banks and the states leave something at the table, in order to ensure that they significantly increase the viability of the borrowers. So that after some haircut has been taken, you have a borrower, which is much more solvent and is much, better embraced in order to meet its obligation in the future and therefore, converting into a performing customer.
Spyros Filaretos: Thank you. And the loan, the amount of loans will pick up. I think, we are in arguing for that because we do argue for that. We are consistent with the underlying analysis that was presented by Michael Massourakis, our Chief Economist and indeed I think, we're also consistent with the general payments of Greek GDP going forward. I think it's fair to say, there is already some healthy demand from the loans that are in the forefront at the moment, which are from the sectors rather, which are tourism, energy and infrastructure. So we do expect, that as we move into growth and locks into growth. There will be corresponding demand for loans, that we can fund and this last qualification has to do with, the risks that will be willing to take forward. I said in my presentation as well, that we have to be careful and selective. We have always been a bank that cared, a lot about the credit quality and its credit processes and we intend to keep this going forward. So this was a long answer. The short answer, is that, yes we do indeed under a base scenario, to see healthy pickup for loans that can qualify for lending by us in 2015 and onwards.
Michael Massourakis: If I may add, something here. This is Michael Massourakis. As you know lending is a lagging indicator of the development of the economy and as we expect, that in 2015 we're going to see higher growth, definitely we're going to see much more pick up in terms of lending. So, and this is actually what is happening today, is in evidence of what I'm saying. That is, we have seen substantial improvement in tourism activity and as a result of that. We are seeing substantial pick up in lending to tourism or any tourism related activities as well or in energy. So you have to wait a bit, until the growth returns to the economy, and then this is going to bring lending. Thank you.
Margarita Streltses – UBS: Thank you very much for the answer. If I can just quickly ask. Part of my question was also referring to the asset spreads in the environment of growing lending. So do you think that the current asset spreads will be able to maintain at the same level, once the loan growth is accelerating? Or you think in order to facilitate the acceleration of the loan growth debt, spreads will need to go down?
Vassilios Psaltis: Hi, Margarita. It's Vassilios. I think from that point, the industry structure [ph] will also will play its role. As we have seen in the deposit side of things. The banking industry has been behaving, it has been an orderly way towards driving down the cost. Therefore, there is nothing that we see that, it would prevent us of thinking that exactly the same would happen on the asset side of things. We do know that, we are at historic high levels and so, we do know that as the structured books, inevitably, spreads do erode. When lending also comes by there will some further drifting, but we don't expect that this will not happen in an orderly way and not happen commensurately to the unlocking of the new disbursements.
Margarita Streltses – UBS: Okay, thanks a lot.
Operator: Your next question comes from the line of Mr. Ghose, Ronit of Citigroup. Please go ahead, sir.
Ronit Ghose – Citigroup: Just a couple of questions. It's Ronit of Citi. First on capital, could you tell us how much of the fully loaded Basel III number you've given us? The 14.9% is benefit from DTCs, please, is it still -- I think before you've guided, about 3.8%, is that still the number or is it a smaller number?
Vassilios Psaltis: Well, Ronit, it's Vassilios. Without, we are roughly at 12% fully loaded. Therefore, the difference to the 14.9% is roughly 300 basis points, do come from that conversion.
Ronit Ghose – Citigroup: So if you didn't have the DTC benefit, it would be still around 11.9%, 12%?
Vassilios Psaltis: Correct.
Ronit Ghose – Citigroup: Okay, thank you. My second set of question has to do with bad debts. Just two questions on that please. One is on restructured loans. The EUR8 billion number you've given this quarter, how comparable is it to the EUR7.5 billion number last quarter? Is the Citi consumer acquisition had any impact on this?
Vassilios Psaltis: No, that did not have – it is, the same according to the same definition that we have been using the last quarter.
Ronit Ghose – Citigroup: So there's no, the EUR500 million roughly delta isn't affected by the acquisition at all?
Vassilios Psaltis: Not at all because that – from the last date. Yes.
Ronit Ghose – Citigroup: Okay. So could you just comment please then? And it looks like there's a jump in restructured loans in consumer, if I'm reading the charts right. I might have got it wrong. It looks like you've done quite a bit of restructured loans and consumer. Why is that? And my final question on loan losses is, the coverage ratio, at least on the NPLs you reported now, the 60%, what do you think is the go to number for that please? Thank you.
Vassilios Psaltis: Well, two things on those, Ronit. I think on the first one, it hasn't been really significant deviation in terms of records and our effectiveness to restructure the borrowing segments. I wouldn't say that there is a significant, we haven't significantly embarked in terms of hiking the pension on the consumer. It may vary from a quarter, to another. So it does not imply and change of tactics, if you would want. In terms of coverage, as I said before, we need first to stabilize the full EBA perimeter and that will allow us also to further segment the way that we're allocating the – our allowance in order to come forward with a firmer statement on what the go to number is. Indeed the 60% that we have reached right now. You may recall that from the beginning of the year, this is what we haven't envisaged and we have achieved that within the three quarters.
Ronit Ghose – Citigroup: That's right. I mean, 60% used to be your go to number. I was wondering whether the new go to number is more like a 65% or a 70%, or where we sort of settle on this 90-day overdue number.
Vassilios Psaltis: Well, it's the point is, that we're going to be shifting our attention from the NPL into the fully EBA compliance NPE number. I mean in terms of NPL, I think AQR, if anything has demonstrated that our strategy was right. We got handsomely benefited from that strategy. Now we're talking about new definition therefore, we have to be very careful articulating a target.
Ronit Ghose – Citigroup: Right. So maybe you'll come back to us later on the 53% NPE coverage, whether that needs to go up to 60%. We'll follow that later.
Vassilios Psaltis: Whatever it's going to be case, correct.
Ronit Ghose – Citigroup: Great. Thank you for that, Vassilios. Thank you.
Operator: The next question comes from the line as Mr. Vijayarajah, Kiri of Barclays. Please go ahead, sir.
Kiri Vijayarajah – Barclays: A follow-up question on the capital. How much of your regulatory capital actually comes from AFS reserves because I'm looking at Slide 7 and the single biggest movement to support this seems to have come from movements in the AFS reserve. So I guess a related question. So how does that behave since the end of the quarter? Have you clawed some of that back? And I guess looking longer term, is there anything you can do to maybe hedge or try and reduce some of the volatility in your capital that's probably going to come from moves in the AFS reserve? And then just sticking with capital, just more of a technical question. Once you've got the DTA to DTC conversion there, you're at 14.9%, I just wondered what's the driving the delta of the 100 bps to the phase in ratio, because I thought it was really the DTAs that was driving most of the difference between phase in and fully loaded, and I wondered what's driving that remaining 100 bps difference from the 14.9% to the 15.9%. Thanks.
Vassilios Psaltis: One of your first questions, indeed. We had an erosion from the available for sale portfolio, which is effectively related to the drop in pricing in terms of Group Government Bonds, that has been predominantly driving it and so, we have lost roughly EUR220 million on a quarter-over-quarter basis in terms of value, so that has been driving down. The capital now, if we would need to engage into further techniques on that. I don't think, that this is something that other current stage we're envisaging. In terms of the impact from the conversion of the deferred taxes assets into a deferred tax credit, I think the delta that you're referring to essentially, is related to the different weight, that risk weighted asset will get in that calculation and offline, we are happy to share with you, the calculations in order to be able to fully reconcile those two numbers.
Kiri Vijayarajah – Barclays: Okay, thanks. I'll follow-up later. Thanks, guys.
Operator: Your next question comes from the line of Mrs. Veselova, Olga of Bank of America. Please go ahead.
Olga Veselova – Bank of America: My first question is, again, about this new definition of NPL. Would you confirm to me please, if the difference between current NPL and future EBA type NPL, will be the forborne loan? And if yes, then do you have the same definition of forborne loans as EBA? And how these loans compare to your restructure loan? I will ask my other questions afterwards.
Vassilios Psaltis: Well, Olga. You're right. The key difference between the simplified EBA definition and the full EBA definition is related to the forborne loans. Now, how exactly that definition will fare, I think there is a July paper from the EBA as a guidance and this is what, we are going to be following suit, in order to ensure that we do get compliant with that. That however, is not an easy job to the extent that the results is systemic job that needs to be delivered, in order to ensure that, one is fully compliant with that definition. Now on your other question, in terms of the restructured loans. Our restructured loans, as we have repeatedly said are performing. Therefore, if these loans out of these loans, if you'd want our NPEs and other are not, it's as simple as that.
Olga Veselova – Bank of America: So restructured loans, EUR8 billion is not a proxy for this difference. So for us to understand, is this correct?
Vassilios Psaltis: Well, it's I think, now my understanding, what it would have, what your question was regarded to that. In all likelihood, the EUR8 billion restructured will either be captured in the NPE definition or in the F definition. I think, this is what your question is? And that is, as I said, that is something that we need to see exactly how it will comply with the definitions as we're going to putting them up.
Olga Veselova – Bank of America: I see. My next question is about current level of provision coverage of your restructured loans. I know you gave us last quarter. But could you update us on this number, provision coverage for restructured loan?
Vassilios Psaltis: It's on average around 14%.
Olga Veselova – Bank of America: It's flat, okay, quarter-over-quarter. Thank you. My other question is from a different field. It's about asset yield. When I'm looking at your Slide 11, I see that the lending spreads were flattish or marginally up quarter-over-quarter except one segment. It was SME or small business loans in Greece. Do you think this is a trend and what is behind this trend or this is a technical thing, maybe driven, well, by something special in the third quarter? So what is your view on this asset yield for the next quarter specifically for SME loans?
Vassilios Psaltis: Well, on the SME loans, you will see that the restructuring asset will get accelerated. I think evidence and testament to that, is the initiative also by the government and the reflection of that, is obviously that there will be pressure on that part and that is a trend that you will continue seeing also in, the future quarters.
Olga Veselova – Bank of America: I see. And a question also, a part of this asset yield question, what is your net interest margin outlook if not for 2015, but maybe before the next two to three quarters? Do you think the positive impact from lower cost of deposits will feed in the margin improvement or we will see stabilization of margin as we saw in the third quarter because margin was virtually flat quarter-over-quarter despite the very good progress in continuation of reduction of cost of deposits.
Vassilios Psaltis: Well, I think there are two points to make there. In terms of the overall trends, you have seen the previous quarters, the restructuring plan targets actually milestones, I should say that we have put out including the net interest margin. So I think it is very evident, where things are heading. In the shorter run however, which your question was much more focused on. I think, you shouldn't expect to see tremendous deviation from the trends that we are currently seeing. Barring the releveraging. I think it's when the releveraging was not taking place, which is going to be shaping things in a much more effective fashion, within the net interest income. Other than that, this sort of balancing situation will continue until we see a re-ignition [ph] of releveraging on the balance sheet.
Olga Veselova – Bank of America: I see. And my last question on margin, is about the pace of reduction of cost of deposits. I remember in March, April or May or around this month. We talked about a slowdown of cuts of interest rates on deposits because of the coming elections. So there was some feel of uncertainty and banks decelerated the process of reduction of interest rates. Do you think this can repeat this time before the elections in the first quarter?
Vassilios Psaltis: Well, it is considerable. If you would look a year back, actually we have been going much faster and much longer than we had anticipated and indeed, we have managed to do that, in periods of calmness and in periods of seeing good progress in the macro, with our volatility that is really a space, where it is conducive to drive forward significant reductions. As it stands right now, we have a very good result, not just for Alpha Bank, but also for the banking industry in terms of a comprehensive assessment. Which validates the good position of the Greek banks, so that is a positive? Now, if something which we don't have up at this stage. We have a significant change in the attitudes towards risk, well what we call it here. The attitude of user [ph] rate that is something that we'll need to reconsider. Currently, we are in a digesting phase of a very large cut that we had instigated. I think, you appreciate that these do happen in steps and currently, you have seen that once we were cutting by 30 basis points that was the difference between the new time deposits and those were expiring, we have doubled that. We are on 60 basis points. So we appreciate that we have done a very bold move. So I think, at this stage instead of talking, what may happen as the next step, we need first to digest and then show that whole book comes at this level. As I said before, if we continue at that pace, even as we stand right now. The book will be south of 2% in the first half of 2015, which I find a very strong point towards achieving our targets.
Olga Veselova – Bank of America: I see. Thank you very much.
Operator: (Operator Instructions) the next question comes from Mr. Papoula, Eleni with Berenberg. Please go ahead.
Eleni Papoula – Berenberg Bank: Thanks for the presentation. I just have a follow-up question on the impact that the law on restructuring or resolving, if you want, nonperforming or impaired corporate and household loans would have for Alpha Bank. In particular, is it a risk that these restructured loans under the new proposed government law would have a lower net present value compared to the current value of that loan on the balance sheet? So would you have to take any losses or if that was the case, would you not agree on the restructuring terms of that specific loan? And the other question I have on that. Would this law lead to any realization of collateral on your side? Which leads me to my last question, how much of collateral values dropped since 2008? I don't know if you have that estimate, for your outstanding loan. Is there a risk for further reduction in those collateral values that could potentially lead to increasing in the cost of risk? If we are now starting to see potentially some, even further asset sales, further transaction points that would give more pricing points to value that collateral. Thank you.
Vassilios Psaltis: Let me thank you. That was a lot of questions and points that you made in there. So I will try to decipher, in order to give you an answer. In terms of Alpha Bank, we feel quite confident approaching this new legislative initiatives, not just because we feel that anything that the government undertakes towards either reviving the space to encourage the borrowers to come and talk to the banks or even to get much more flexible, the restructuring environment would beam as very good and appropriate. As we said, when we go down to the details, we will see how much of the perimeter, we'll be able to convert, but as a second point, from an Alpha Bank perspective, we are quite confident because we have in our business loan, a 70% coverage. So by that number and including also 60% in terms of current value of collateral that brings us to 130% overall coverage, which you appreciate, we do approach that from a position of strength. Both vis-à-vis the borrower and in terms of the space, on the whole industry. Your other point is that, if these initiatives actually will ignite the market towards conducting asset sales. I would answer to that, the following way. I would say that, the banks following the point, where there will be reaching the peak of the NPLs, then they will, hence the newly formed EBA definitions obviously will be facilitating with that then. They will need to identify the space of the non-core customer relationship the gone [ph] customers and thereafter, they define that, they will need to appreciate how much, they'll work in-house and how much of that, they may want to dispose it, off. In that process, if you don't have rigidities or questions marks on the legislative space and what – how things may evolve in the future. Obviously that is an environment that is conducive for buyers and sellers to conduct in a transparent fashion, in a price finding negotiations. If there are however, big uncertainties. You appreciate that buyers and sellers will put their own marks that will rather make them drift away. So to come back what you said before, any initiative is helping towards establishing transparency and potentially bringing buyers and sellers closer.
Eleni Papoula – Berenberg Bank: And to my question on the reduction of collateral values, yes
Vassilios Psaltis: Finally, on the collateral values. Peak to trough, real estate related collateral are down 40%. And you know, we are quite confident, with what we have done to the extent also that AQR number that for the NPE customers, which by definition are gone [ph] customers and therefore on the collateral has been assessed, you have seen that, we have come out with the best marks.
Eleni Papoula – Berenberg Bank: Perfect. Thank you.
Operator: The next question comes from the line of Mr. Hernandez, Jaime of Nomura. Please go ahead.
Jaime Hernandez – Nomura: Good afternoon, and apologies for making it longer. Just three questions. The first one on capital. I was wondering if you got now after the AQR and the stress test results kind of target for your Core Tier 1 which you've fully loaded, if current levels are enough or Alpha Bank should need further capital. The second one is related to dividends. I don't know if there's, now, ones that you, after you mentioned it, the exercise results and also the repayment of the state on preferences of the past if there is, if you have some limitations, or we can expect some kind of dividend payments in the future. And the third one is a tricky one maybe, but I was wondering if you can share with us what could be the implications for Alpha Bank in the case that early elections take place at the beginning of next year and the results, so the results of election polls. Thank you.
Vassilios Psaltis: Well, in terms of your first question. I think your second question, immediately answered it because when we come to talk about dividend and obviously, people do appreciate that there is plenty of capital around. If the bank comes forward in the static, adverse scenario with a surplus capital of EUR1.3 billion and on top of that, as we have illustrated, there another EUR1.5 billion of capital actions that's given the methodology, we have not been taking into account into account. I think in a stress scenario having an excess EUR2.8 billion. I don't think that's, there is any question around capital position of the bank. On your, through question around the dividend. Indeed there are three obstacles, actually. Two obstacles in a condition before the bank starts distribute dividend again. The condition obviously, that we turn back into profitability and that is our firm target for 2015. In terms of the restrictions, the first one we brought it out of the way as you put it forward, repayment of preference share has been a key stumbling block in that process, but there is another one, that we will need to deal with and that is, that given that fact that, we have taken stay date [ph] one standard clause in the outset of any restructuring plan, is that there is a dividend ban. So what Alpha Bank needs to do, is after this comprehensive assessment where our new regulator has come forward and validated a very strong capital position. We need to perform on our restructuring plan, ensure that the stakeholders do appreciate that, we are firmly on viability and on profitability path, and at that point, I think we can embark on having a discussion, with the authorities around the dividend ban, but this is not really the time. Finally, you mentioned the early elections. I don't think that at a technical level, the bank has any concerns with that. so obviously banks always like to have stability and tranquility in the environment and this is also, we would love to have forward to us, but you know if for whatever reasons the political elite decides otherwise, that is an environment that's obviously we will accept and work with.
Jaime Hernandez – Nomura: Thank you very much.
Operator: (Operator Instructions) there are no more questions registered at this time. You may now proceed with your closing statement.
Spyros Filaretos: Well ladies and gentlemen, thank you very much in taking the time to participate on our third quarter results hence the whole thing looks forward to having you again, when we release our full year results in the New Year. Thank you very much.
Operator: Ladies and gentlemen, the conference is now over. You may disconnect your telephone. Thank you for calling, good bye.